Operator: Good morning. My name is Joanna, and I will be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold Royalties 2023 First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions]. Please be aware that some of the commentaries may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. [Operator Instructions].  Thank you. Mr. Watson, you may begin your conference.
Nolan Watson: Thank you, Joanna. Good morning, everyone, and thank you for calling into this Q1 earnings call. In a minute, I'll hand it over to Erfan to discuss the Q1 results. But before that, I just wanted to provide a high-level update on a few qualitative things that have occurred over the past few months that are worth noting, specifically, four things that I think are material. The first of those things and most material, which was announced earlier this week is that SSR, a multibillion-dollar Canadian mining company, has announced that they're buying a 40% interest in the Hod Maden project from Turkiye. I'll let Dave talk about this a little bit more when he gets to his part of the call. but this is obviously a positive update for us as we believe that there -- this will give Sandstorm shareholders and prospective shareholders much, much more confidence that Hod Maden will be built and is progressing immediately into construction. This leads me to my second update, and I -- things that I think is worth mentioning. As soon as the announcement was made on Monday after market close about SSR and Hod Maden, some of our investors and prospective investors saw this as such good news that they made a bid to one of our shareholders that we inherited from the base core transaction for their entire block of CAD50 million worth of Sandstorm stock. This was a block of shares that was understood by the Street that was potentially available for sale and it was causing some pressure on our share price. And that purchase of shares successfully happened this week. In addition to that, it's worth mentioning that one of the shareholders that ended up with Sandstorm shares as part of the Nomad acquisition was Yamana, who also had nearly CAD50 million in Sandstorm shares. And Yamana was recently purchased by Pan American Silver, who is liquidating a lot of its noncore share asset base. And they also sold their entire block of $50 million worth of Sandstorm shares in the past couple of weeks. So, in the past couple of weeks, we have now successfully cleared around $100 million worth of shares, which were purchased by new shareholders. And so, I think that's a good thing and removes a bit of the overhang. The third thing that I think is worth noting, before I turn it over to Erfan, is that on the quarterly calls or the other streaming and royalty companies, they have been discussing the impacts of the new proposed global minimum tax of 15%. This is something that the OECD has had in the works for nearly the past decade, and it's finally coming to fruition, where it's expected that all companies, including streaming and royalty companies, will have to pay an effective tax rate on their global earnings of at least 15%. Specifically, this impacts other streaming and royalty companies, who have structured themselves offshore and outside of Canada to minimize tax. As we have noted many times in the past, at Sandstorm, we have purposely structured ourselves so that we do pay tax in one jurisdiction or the other, such that this new global minimum tax, which some of our competitors expect to start affecting them in the next couple of years, does not at all affect Sandstorm. I know that some people are concerned about how this tax will affect streaming and royalty companies, and I'm pleased to say that it is not expected to affect Sandstorm in any way. Finally, I think it's worth noting that with today's gold prices that are above $2,000 per ounce, our debt repayment is happening at a rapid pace. nine months ago, we had over $625 million of debt. By the end of this quarter, we expect that to be down to $450 million and dropping rapidly. One year from now, I expect our debt to be sufficiently reduced into the mid-$300 million range. And I also expect, at the same time, that our equity and debt investments in other mining companies to be in a similar $300 million range, such that next year, our debt, net of our investments in other mining companies, should be effectively zero. I think it's worth noting that we're very proud of the company that Sandstorm has become. We're excited about our collective future. I would be remiss, however, if I didn't acknowledge that along the way in building this company that there have been some bumps along the road. I say this to acknowledge that we're not perfect as a team, and we recognize that we have a very intelligent investor base that we value the feedback of. For our investors, it's worth noting that your opinions vary so greatly, as many of you disagree with each other, such that we can't follow everyone's advice. However, it doesn't mean that we don't want to hear that advice. Even when our own shareholders disagree with each other, hearing each shareholder's opinion is helpful to us. Having over 50,000 investors, that makes it impossible for me to hear and synthesize every individual investor’s thoughts, but we have recently decided to do our best and to create a new portal on our website where you can fill out your thoughts. And the feedback will be reviewed by a member of our team. Feedback that is considered both constructive and thoughtful will find its way specifically to my desk, so I can review it and help our senior management team make decisions to take into account what we're hearing from shareholders. In the 18 years that I've been a sea-level executive of New York-listed streaming companies, I received a lot of feedback and some of that feedback has improved and changed how I view the business, and we're proactively looking for more of that feedback. I, myself, am not only a significant Sandstorm shareholder, but over the past nine months, I have purchased another CAD2.5 million worth of Sandstorm shares with my own money because I believe the share price will go up. Clearly, I want the share price to be as absolutely as high as possible, and I'll be endeavoring to accomplish that. And to the extent that you can provide feedback that will help that objective come true, please do so. So, for those of you who want to do that, the web address is sandstormgold.com/feedback.  And with that, I'll hand it over to Erfan for the detailed results. Erfan?
Erfan Kazemi: Thanks, Nolan. In terms of the financial results, Sandstorm had a very strong start to the year, setting a number of new quarterly records. Sandstorm sold over 28,000 attributable gold equivalent ounces during the first quarter and realized revenues of approximately $44 million, both a quarterly record for the company and an increase of 24% for the comparable period in 2022. Early in the quarter, we received a one-time contractual payment of $10 million from the Mt. Hamilton royalty. This resulted in a quarterly record of $54 million in total sales, royalties, and income from other interests. Larger macroeconomic conditions helped drive the price of certain commodities higher. As a result, the average realized gold price per ounce for the company's gold stream was $1,882, which is comparable to the first quarter of 2022. We continue to see indicators for a strengthening gold market, and Sandstorm portfolio is well positioned to profit from these rising gold prices. Diving into the details of the financial results a bit further, revenue was comprised of $26.4 million from the sales from our streaming contracts and $17.6 million from our royalty assets. Sandstorm's average cash cost was $230 per Attributable Gold Equivalent ounce, down approximately 20% from the comparable period in 2022. This resulted in cash operating margins of $1,652 per Attributable ounce. These are impressive margins that are indicative of a quality set of assets and also low-cost mining operations underlying our portfolio. Cash flows from operating activities, excluding changes in noncash working capital, was nearly $43 million for the quarter, a 60% increase from the first quarter in 2022. Net income was $15.6 million or $0.05 per share on a diluted basis. Looking at a breakdown of the assets that contributed this quarter, Cerro Moro and Antamina, and Chapada were the top-performing assets, contributing approximately 35% of attributable gold equivalent ounces. Lundin Mining, the operator of Chapada, recently updated the Chapada mineral reserves and resources and reported that exploration success at Chapada has offset mine depletion since the previous mineral estimate. The operator also released a maiden estimate on the Silver deposit, which is located within Sandstorm's streaming ground. There are other positive operational updates to assets, including the Fruta del Norte and Caserones mine, which I'll let Dave speak to in a moment. As many of you will recall, Sandstorm purchased a net profits interest on the Antamina copper mines in the second half of 2022, and we're encouraged to see strong results from this asset in the first quarter. In addition to Antamina, Bonikro, Caserones, and Blyvoor, and additional streaming contracts at the Mercedes mine in Mexico are new to this list when comparing to the same period in 2022. It's exciting to see these assets on this list generating meaningful cash flow to Sandstorm from shareholders. The other category, which includes production from the other 27 royalties, not specifically listed here, contributed nearly 9,000 attributable gold equivalent ounces. Sandstorm now has 40 cash-flowing assets in the portfolio and many more in development, a truly diversified royalty company. From a jurisdictional perspective, Sandstorm's production remains primarily focused in the Americas with 41% of gold equivalent production coming from North America. In the comparable period in 2022, production attributable to North America was 28%. This increase in the Americas was primarily driven by the addition of some of the streams and royalties I mentioned earlier that were acquired in the Nomad and BaseCore transaction as well as an increase in attributable ounces from the Fruta del Norte mine in Ecuador and the Aurizona mine in Brazil. Finally, I'd like to make a quick mention of the progress on Horizon Copper and the transaction with Sandstorm relating to Antamina NPI. Horizon recently announced a $20 million financing, which was more a part of the cash consideration payable to Sandstorm. Horizon is working diligently in the background to complete the transaction, which we expect to close over the coming months.  With that, I'll turn it over to Dave for some further updates on our assets. Dave?
David Awram : Great. Thanks, Erfan. So, we're just a few days after this announcement of welcoming the new partner into Hod Maden. So that's going to be my lead in today's asset update. With SSR becoming the operating partner, we enter a new phase of project execution on the asset. The same team that launched the pressure oxidation plant at Copler to great success in both timing and budget will now be building Hod Maden. Of course, SSR has operations in North America and South America, but Turkey operations have always been the big economic driver of that company. The new plan for Hod Maden will be to use the same team responsible for the development of the Copler expansion, start focusing on project optimization within the existing EIA that's been filed and accepted. A new technical report is expected in 2024 and construction is expected to start that year as well. It's important to note that SSR's track record of performance post-merger with Alacer in 2020 with regards to Copler is fantastic. It is -- it was a great performance in both budget and time, but what's most notable is their ability to consistently outperform on production costs and extending the mine life. The chart on Slide 12 shows how, since only 2020, the SSR team has increased life of mine production by 82% and increased reserves net of depletion by 85%. It certainly feels like we're going to have the right operator on this asset. One of the best aspects of the new partnership is that our and SSR's partner, Lidya Madencilik is still part of that execution team. SSR has been partners with Lidya Madencilik for 15 years now, and their combined execution on multiple projects demonstrates the great working relationship already established. I was just on-site last week where I was brought renewed excitement with how truly exceptional this project is. The early works on the project's well underway, and the site is starting to look like a mine. And the last land in acquisitions are finalizing soon. However, what excites me the most is the untapped exploration potential that exists. It's been over two years since any drilling has occurred on the site, but still the [ph] Russian zone and the North offset drill targets are anxiously awaiting some additional work. Also, more drilling in the existing South zone resource is a good potential target for additional reserves. It's a great time to have an ambitious new partnership to work toward. Now on the next slide, Caserones two has a new operating partner in our friends in Lundin Mining. Almost the same things I've said about SSR's efficiency could apply to Lundin. They've been very successful in revising and improving the operations that they're involved in. Looking at their history, when taking over Candelaria, we've seen an amazing improvement in just over nine years of ownership. At Candelaria, Lundin has increased forecast production by 160% and increased M&I by 175%. Amazing improvements when they assumed ownership of this remarkable Chilean asset. Combine that history of improvement with the synergies that Candelaria and Caserones make, you have a real winning formula. During construction ramp-up in the first few years of operation, Caserones has seen little to no exploration done on the property, but we've got [indiscernible] as being one of the final pieces in their consolidation of the Maricunga district. In Chile and Argentina, we're looking forward to renewed focus on exploration in an area that is known better by no other management team. More good news from Lundin, but this time from Lundin Gold at Fruta del Norte. The mine is consistently outperforming expectations quarter-over-quarter, and the last update from the project highlighted the successful discovery of projects at the existing Fruta del Norte mine. This comes in addition to the conversion of the inferred resources in the South zone to reserves. For almost 17 years, observers have been awaiting potential results from other areas of the Pull-Apart Basin and now we seem to be finally finding them. Almost adjacent to the South of Fruta del Norte, new drilling has revealed grades very similar to FDN, along with similar textures and epithermal mineralization with open targets along strike and down dip. Bonza Sur is just south of this target and covered by an extensive gold anomaly with some initial drill hole intercepts up 8.3 grams per tonne gold over 39 meters and almost 47 grams per tonne over 3.5 meters. The soil anomaly these drill holes are on extends over 1.2 kilometers. Castillo is another area of mineralization in the Pull-Apart Basin where FDN mineralize-type mineralization will be followed up on. Together, at least three drill rigs will be utilized to continue a drill program of near-mine drilling of 23,000 meters and regional exploration of 12,500 meters. All this exploration drilling is in addition to the 7,600 meters expected drilling in the conversion program at Fruta del Norte. 2023 drilling has initial results that confirm the continuity grade width of the resource areas. So, we're very optimistic that the 1.58 million ounces added since the beginning of mining will continue to increase over the next few years. So, with that, I'll pass the call back over to the operator, Joanne, for questions and answers. Please feel free to ask questions about any of the royalties and stream.
Operator: [Operator Instructions]. The first question comes from Heiko Ihle at H.C. Wainwright. Please go ahead. 
Marcus Giannini: Hi, everyone. This is Marcus Giannini calling in for Heiko. Thanks for taking my question. So, given that SSR Mining recently has taken operational control over Hod Maden, have you talked with them about any potential changes given a different development team now being there when it comes to the setting on priorities for the site going forward regarding capital allocation, fund spend and so on?
Nolan Watson: We've been in significant conversations with them at all levels. And so far, the plan is straight ahead. But Dave, you were just at site, so let's turn it over to you if you have any other insights.
David Awram: Yes. The work that they're going to be doing is going to be focused really just within the existing EIA. They're looking at some project optimizations in a couple of different spots. But really what was outlined and what was permitted by the EIA, what the land acquisition is really focused on, they're very pleased with the work that Lydia and [indiscernible] have really put into this project so far. They're ready just to really expand upon that and start executing. Certainly, they're going to put their SSR stamp on this. But of course, being partners with Lydia for some time, they've got a lot of experience doing that. And they certainly are very pleased with the work that Lydia has put into the project thus far and are happy really just to continue on. So, you can expect something even with the updated technical report as it comes to be quite similar with the exception of some additional project optimizations within the existing plan.
Marcus Giannini : Okay. That makes sense. Thanks for the color. And then just changing gears a bit. We were going through your quarterly and noticed the Colossus severance lawsuit is still ongoing as per Page 36, of the report. And obviously, $8 million is not a huge amount of money, but regardless meaningful enough to warrant asking if you have any idea when this might come to a conclusion? And to be clear, you're not forced to keep this money in Brazil in some sort of restricted accounts. It's like a bond, right?
Nolan Watson: Yes, that is correct. That has been a nuisance, totally unmerited lawsuit that was launched many, many, many years ago, and nothing ever happens on it. So, it's one of those accounting note things that we expect to have absolutely no effect in any way at all ever.
Marcus Giannini : Okay, perfect. Thanks for taking my question.
Operator: [Operator Instructions]. We have no further questions. You may proceed.
Nolan Watson: Perfect. Well, thank you very much, everybody, for calling into the call. And as always, feel free to ask questions, we'll be here all day if anyone has any follow-up questions. And for those of you who listen to this on the podcast, please do go and fill up those feedback forms on the website. Thank you, everybody. Have a good day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.